Operator: Greetings, and welcome to the Doman Building Materials Group Limited's Third Quarter 2023 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Ali Mahdavi, Head of Investor Relations. Thank you. You may begin.
Ali Mahdavi: Thank you, operator, and good morning and good afternoon to everyone, depending on where you are; thank you for joining us today for Doman Building Materials' Third Quarter 2023 Financial Results Conference Call. Joining me this morning are the Company's Chairman and Chief Executive Officer, Amar Doman; and Chief Financial Officer, James Code. If you have not seen the news release, which was issued after the close of markets yesterday, it is available on the Company's website as well as on SEDAR along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until midnight, November 17. Following the presentation of the third quarter results, we will conduct a Q&A session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward-looking information, which is made on behalf of Doman Building Materials Group Ltd. and all of its representatives on this call. Remarks and answers to your questions today may contain forward-looking information about future events or the Company's future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call, and the Company does not undertake to update any forward-looking statements. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors which could cause or would cause actual results to differ. The Company will not provide guidance regarding future earnings during today's call, and management does not anticipate providing guidance in future quarterly or interim communications with investors. I'll now turn the call over to Amar.
Amar Doman: Thanks, Ali, and thank you for joining us on today's call, everyone. I'd like to, first of all, thank all of our great employees, our customers and partners of the Company for their efforts and continued partnership with Doman. On the back of a strong second quarter, the third quarter was similar in terms of our focus on optimizing operational and financial performance on both sides of the border, while navigating through continued macroeconomic headwinds stemming primarily from rising interest rates, inflationary pressures and concerns around the risks of a recession. Throughout the third quarter, we continued to work through the impact of challenging year-over-year pricing comparatives, largely due to the impact of construction materials pricing, which peaked in the first quarter of 2022. These trends continue to exist in our day-to-day activities and we are working through areas where there may be some softness as we have done so in the past. To put the external market dynamics in perspective vis-a-vis our financial performance in the third quarter, the seasonally adjusted annualized rate for single-detached housing starts in Canada, which is a relevant leading indicator for our business, was $52,000 for the third quarter of 2023 versus $75,000 in the comparative period of 2022, a decrease of 30%. During the same period, we've experienced pricing declines in lumber and plywood when compared to the third quarter of 2022, some are now down 35%. Despite these external pressures impacting our top line numbers, our focus remains on what we can control to ensure we maximize margins, free cash flow generation. Inventory and overall cost management were once again key contributors to our success in the third quarter, resulting in another period of strong gross margin performance. While we continue to see more of a cautious tone and sentiment from customers and how they are working through some of the same macroeconomic headwinds, demand remains steady across all key end markets during the quarter with volumes in various categories remaining range bound. However, given the lower pricing for construction materials on a year-over-year basis, revenues were lower in the third quarter when compared to the same period last year, but improved margins. To put this in numbers, gross margin for the third quarter was 16% compared to 12.3% a year ago. Despite the lower pricing and concerns caused by the global macroeconomic environment, I remain pleased and encouraged by the strength of our business model and our ability to perform while ensuring that our first-class level of service remains on point to our customers. As a result of our collective efforts, our revenues amounted to $644 million, gross margin remained strong at 16% or $102 million. EBITDA, $52 million, net earnings just over $21 million and lastly, we paid a quarterly dividend of $0.14 per share. I believe that's our 56th straight dividend. Speaking of financial performance, I'm also very pleased with our relentless focus on balance sheet management and optimization. To this point, during the last 12 months, while working through some of the challenging market dynamics, we were able to reduce our debt by $122 million, thanks to the strength of our free cash flows. Looking ahead, we remain very excited and cautiously optimistic as we work through the macro related and pricing-related dynamics while we continue to manage our costs and always look for growth opportunities. We are aware of external pressures, which may come into play, not only into our industry, but any other others that touch similar end customers. As always, we remain confident in our ability to work through volatile markets diligently while serving our customers' needs at the highest level of service. We remain excited about our growth profile and the overall prospects of the business, and we'll continue to look for strategic growth opportunities vis-a-vis acquisitions. With that, I would like to ask Jay Code, our CFO, to take over, provide a Company overview of the third quarter financial results in greater detail, and then we're going to open up the call for questions. Jay?
James Code: Thank you, Amar. Good day, everyone. Sales for the quarter ended September 30, 2023, were $643.9 million compared to $744.1 million in 2022 representing a decrease of $100.2 million or 13.5%, largely due to the impact of the previously discussed construction materials pricing declines, which resulted in lower average pricing for lumber and panels during the quarter. The Company's sales by product group in the quarter were made up of 72% construction materials compared to 66% last year, with the remaining balance resulting from specialty and allied products of 23% and other product sales of 5%. Gross margin increased to $102.8 million versus $91.5 million in 2022, an increase of $11.3 million. Gross margin as a percentage of sales was 16% in the quarter, an increase from the 12.3% achieved last year. The relatively stable pricing environment during the current quarter resulted in both higher percentage and dollar margins realized by the Company, contrasted with the significant price volatility experienced last year. Expenses for the third quarter were $67.6 million compared to $68.3 million last year, a decrease of $708,000 or 1%. As a percentage of sales, expenses were 10.5% in the quarter compared to 9.2% in 2022. Distribution, selling and administration expenses decreased by $670,000 or 1.3% to $50.8 million in the quarter from $51.4 million last year, mainly due to the Company's continued efforts to tightly manage controllable costs. As a percentage of sales, these expenses were 7.9% in the quarter compared to 6.9% in 2022. Depreciation and amortization expenses were $16.8 million, largely in line with the third quarter of last year. Finance costs this quarter were $10.1 million compared to $9.8 million last year, an increase of $298,000 or 3% largely due to higher interest rates on the Company's variable rate loan facilities, which was partially offset by lower average net debt in 2023. Q3 EBITDA was $52 million compared to $40 million in '22, an increase of $12 million or 29.9%. This year's increase in EBITDA is mainly a result of the previously discussed stronger margins and tight expense management realized during the quarter. As a result of these factors, net earnings for the third quarter were $21.2 million or $11.6 million -- compared to $11.6 million last year, an increase in earnings of about $9.5 million. Turning now to the statement of cash flows, operating activities for the 9-month period ended September 30 generated $132.2 million in cash compared to $126.2 million during the same period in '22. Changes in noncash working capital items consumed $4.5 million in cash compared to generating $27.8 million last year. Management continued its efforts to optimize inventory volumes while maintaining the highest standards of customer service in 2023. Overall, financing activities generated -- resulted in net payments to equity and debt holders totaling $117.9 million in 2023 compared to $156 million last year. The Company borrowed an additional $12 million on its revolving loan facility compared to repaying $99 million in '22. This year, Doman utilized its revolving loan facility to redeem its $60 million 2023 unsecured notes and to repay the $14.1 million remaining balance on its nonrevolving term loan in June of 2023. We also note the Company was in compliance with all lending covenants during the 9-month period ended September 30, 2023. Doman returned $36.5 million to shareholders through dividends paid during the 9-month period, which translates to a $0.14 quarterly dividend per share consistent with 2022. Payment of lease liabilities, including interest, consumed $19.8 million of cash compared to $18.4 million last year, and the Company's lease obligations generally require monthly installments, and these payments are 100% current. Finally, Doman invested net cash of $10.4 million in new property, plant and equipment in the 9-month period compared to $3 million in 2022.  This concludes our formal commentary, and we'd now be happy to open up the call to any questions you may have. Thank you. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Hamir Patel with CIBC.
Hamir Patel: Amar, given the greater affordability headwinds in Canada, are you expecting a slowdown in the Canadian distribution business in '24?
Amar Doman: No. In fact, we think we're going to be pretty decent, Hamir. And the reason why is it's evidenced now with the slowing, it's already happening with housing starts here, especially the singles. But our LTL less than truckload business has picked up significantly, so when we have these sort of scared buyers, if you will, across the country, they tend to buy less than truckload, and that really assists our distribution business. That's been evidenced this year right across the country from BC right to Newfoundland. So this is where we do better, and that helps our distribution margins as well with those nice mixed trucks of different allied and construction materials that we ship out.
Hamir Patel: That's helpful. And as the rebuilding gets underway in Maui, how is the on-store business positioned to assist there? And how meaningful could be increased sales activity be there?
Amar Doman: Yes. For the Maui division, it will be significant over time. Certainly, we don't like the margin side of this, but really, we wouldn't be shipping anything into Lahaina unless they got wiped out. Sadly, it has been wiped out, and we will have new business going in there as they start to rebuild, work for their insurance and clear all the hazardous waste out. So we will get business there. We will matter in Maui. It will be good business for us. And Hawaii, in general, is doing very well on our electrical distribution side and our lumber side. So we're quite pleased with Hawaii's performance, even without Lahaina rebuilding yet.
Hamir Patel: Great. And just the last question I had for Jay. How are you thinking about CapEx for 2024?
James Code: For '24, Hamir, we just -- we would expect to be steady as she goes, something in the $10 million to $12 million annual CapEx spend range.
Operator: Our next question comes from the line of Paul Quinn with RBC.
Paul Quinn: Amar, you mentioned a more cautious tone from your customers. Maybe if you could give us a little bit more detail on what you're seeing in each of the regions, whether in Canada or the U.S. and East and West and Mid-on strengths and weaknesses in the market?
Amar Doman: Yes. It's been going on over a year, Paul. I think if we had this or look back at our call a year ago, customers were cautious last year as rates were rising, et cetera. They're still just as cautious. So when we look across the country in Canada, everybody is just sort of buying less, more hand to mouth, including us. We've reduced our inventories. We're churning faster, just like everyone is because nobody wants to have this big pile of inventory and could be caught wrong. Now having said that, looking at pricing across Canada and the U.S., we like lumber pricing down where it is just selfishly, because we think it's getting close to cost, and we'd like to put some inventory on the ground now. But certainly, if you look across the U.S., it's the same feeling, nobody is inventoring more than they need to. It is a buy to sell to thing, and that's what's going on, Paul, everywhere, including the West Coast and Hawaii, everybody is in the same mode across North America. I think everybody is just afraid of a looming recession that just seems to be pushed further and further out.
Paul Quinn: Okay. And I mean, you guys are a pretty big treater. Just wondering how you're thinking about the treating market for '24, whether you're lumber inventory and whether you build that up at the end of the year to be able to treat this to get it to the market mix spring? Or is that going to be pretty similar levels to last year? Or is it going to be higher or lower?
Amar Doman: Yes. I think we'll be similar. We were quite pleased with the takeaway in most regions this year, up in a lot of regions with volume. So I think we're going to forecast flat and we'll build those inventories as such. And certainly, we might buy a little bit more in the fourth quarter here. We'll just see how it goes with lumber pricing. Again, we like -- again selfishly where it is because I think we're close to cost and in some cases, below cost as we saw last night with some of the sawmills printing. So we'll be cautious there, Paul, but long answer, but I think our outlook's flat.
Paul Quinn: Okay. And then just lastly, it seems like it's been a couple of years since you've done some kind of M&A transaction. What is that environment looking like? And are you working that stuff right now?
Amar Doman: So when we bought Hixson 28 months ago, virtually doubled the Company. We wanted to make sure that, that execution has gone well. The Hixson team has done a fantastic job integrating, putting the software and all the things that we wanted to have done and now we're starting to see the results of those activities come forward. So we want to make sure that was done, but at the same time, keeping our eye on M&A activity. And I can tell you that certainly, we're in discussions with several acquisition opportunities. We have to make sure that they fit our core three values on an acquisition. Number one, the sort of four to 6x EBITDA; number two, just fit in with our customers' needs. Number three, can we drive cost out and leverage the scale of the business. So none of that's changed. I think you'll see some stuff happen in '24 as we're getting a little closer on a few things. And frankly, we've got a lot of available credit, so I don't see us going to the markets. I think we're going to be okay depending on the size of those acquisitions, but we're not going to stop.
Operator: [Operator Instructions] Our next question comes from the line of Zachary Evershed with National Bank Financial.
Zachary Evershed: I was hoping you could give us a bit more color on -- in the top line, at least what you're seeing in terms of price versus volume trends?
Amar Doman: Yes. So pricing, probably a good idea to peak at some of those charts again, and you can see that Southern Yellow Pine and SBF year-over-year, some of them are down 45%, 50% year-over-year, not quarter-over-quarter. But we're seeing some flattening and bottoming here now, we believe in lumber plywood and OSB, on both sides of the border with different species. On the volume side, we've had a pretty good volume year, being honest here. So it just doesn't show up in the top line because of obviously the deflation that's happened, but volumes have been decent. We think they'll be flat into 2024.
Zachary Evershed: And you guys were quite successful in holding on to 16% gross margins despite the pressure on pricing year-over-year. Maybe you can speak to some of the strategies that are going into that and how sustainable you see that being in the coming quarters?
Amar Doman: Yes. I think as we were seeing last quarter, we had a bit of a higher watermark in 17%. But certainly, this is the neighborhood we're in. And just having a normal lumber market, allowing us to do what we do best, which is produce pressure-treated lumber and distribute building products in a steadier fashion instead of the big ups and downs of COVID really showed what we can do, and that was the second quarter in a row of kind of showing the new neighborhood that we're in. The Hixson acquisition has certainly helped that more treated lumber going through the system and having a steady lumber market, I think evidence to it. Anything to add, Jay?
James Code: Just that as we go through this period, we're updating contracts with customers. We're successfully renegotiating adders in the treated business in various regions. So that's contributing to the success on the margin percentage as well.
Zachary Evershed: And then given the caution that you guys are seeing everybody being hand to mouth, would you say that you can keep your distribution selling and administrative costs fairly flat? Or is there more room to trim on that?
James Code: No. Yes, we're just going into budgeting season here, Zach. And we think just a small amount of inflation on SG&A, nothing to outsized. So we'll have more on that in the next couple of months.
Zachary Evershed: Good color. And then just one last one for me; last quarter, you talked about sellers' expectations being a little elevated anchored to kind of 2022 results given the macro environment. Are you starting to see that normalize? Or are you getting closer together on expectations?
Amar Doman: Yes. I think a couple of things there, Zach, on the acquisition front. So number one, good and bad. So, 2023 was a pretty decent year for a lot of people in the industry that were looking at acquiring. So tough to kind of push down and paint a bad picture when they're printing good numbers. But having said that, the guys that have got a lot of debt that's free floating, I think there's some cash flow challenges that are starting to appear much like commercial real estate where the guys that are levered are starting to make some calls in because they're going to have to re-equity up or maybe look at the sales. So I think that part of us having a super strong balance sheet, very good debt levels for us, I think, provides opportunity in this environment.
Operator: Our next question comes from the line of Ian Gillies with Stifel.
Ian Gillies: Where the share price is and strength of the balance sheet and margin performance, have you put much additional thought into be instituting the NC you're starting to use an NCIB in a more material way, looking pretty attractive here.
Amar Doman: Yes. So we just finished our board meeting yesterday and we reviewed that and we elected not to renew it. And here's why? The Board and myself and Jay, just bigger look. We pay a pretty healthy dividend being in industrial. We like our payout ratios. We're nice and safe there now. So now we look forward and say, okay, any extra dollar we have, we're going to put towards debt reduction, plain Amar Doman simple. Dividend is going to stay where it is, and let's continue to pay down any excess debt that we have. And we think paying a dividend and doing an NCIB may not be the smartest use of cash and shares at a certain point in time here, I agree they look very valuable. So that it does kind of make you scratch your head a bit and want to do, but we made a decision to focus on debt reduction. Jay?
James Code: Yes, that's exactly correct, Amar, yes.
Ian Gillies: And then with respect to how you want to position the business over the next, call it, three to five years, would you like to see a more even split in the business between Allied Products and your more traditional pressure-treated products? Or is there -- are you agnostic to that and you're just looking to find the right price?
Amar Doman: Well, a couple of things there. I think you'll see us continue to add more allied products to some of our treated plants in the U.S. We started and introduced composite decking in Texas recently. So we're starting to do add-ons because we're going to these customers every day with full trucks at treated. And one of the strategies is to continue to partner with more allied product lines in the U.S. where it makes sense for the backyard space, and that's what we're looking at and continuing to build on. So you'll see us continue. There's not a focus one way or the other. We we certainly want to buy more pressure-treated plants and be more valuable to our larger customers in the states and all customers, frankly, but we'll start to augment more of the allied lines through the system as time goes on over the next -- not even three to five years, even sooner than that, and we think we'll grow the system sooner than that as well.
Operator: There are no further questions in the queue. I'd like to hand the call back to management for closing remarks.
Ali Mahdavi: Thank you, operator. Thank you again, everyone, for joining us today. We look forward to speaking to you on our year-end conference call, year-end in Q4. That concludes today's call. Any questions, feel free to reach out to me directly. And I'll turn it back to the operator to close the call.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.